Operator: Good afternoon, ladies and gentlemen. Welcome to the Research Frontiers Investor Conference Call to discuss the third quarter of 2020 results and recent developments. [Operator Instructions] This conference is being recorded today. A replay of this conference call will be available starting later today in the Investors section of Research Frontiers' website at www.smartglass.com and will be available for replay for the next 90 days. 
 Please note that some of the comments made today may contain forward-looking information. The words expect, anticipate, plans, forecasts and similar expressions are intended to identify forward-looking statements. Statements that are not historical facts are forward-looking statements that are made pursuant to the safe harbor provisions that are part of the Securities Litigation Reform Act of 1995. These statements reflect the company's current beliefs and a number of important factors could cause actual results for future periods to differ materially from those expressed. Significant factors that could cause results to differ from those anticipated are described in our filings with the SEC. 
 Research Frontiers undertakes no obligation to update or revise these forward-looking statements to reflect new events or uncertainties. The company will be answering many of the questions that were e-mailed to it prior to this conference call, either in their presentation or as part of the Q&A session at the end. In some cases, the company has responded directly to e-mail questions prior to this call or will do so afterwards in order to answer more questions of general interest to shareholders on this call. [Operator Instructions]. I would now like to turn the conference over to Joe Harary, President and Chief Executive Officer of Research Frontiers. Please go ahead, sir. 
Joseph Harary: Thank you, Paul, and good afternoon from Woodbury, New York, everyone, and thanks for being here. Joining me today is Seth Van Voorhees, our CFO. And in August, we also welcome to our Board of Directors, Graham Settle, who many of you may know because he has been a fellow shareholder of ours since the company first went public in 1986. I also thank Former Director, Greg Grimes, who has been a shareholder of our company for over 20 years. Graham, it's good to have you on this conference call, not only as a shareholder, but now also as a member of our Board of Directors. 
 If you listen to the replays of our last 2 conference calls, we predicted much lower economic activity for the entire automotive industry generally and for us specifically. Although fee income was down for us, we have also have prepared for this by shoring up our balance sheet over the past several years. When the storm hit with COVID-19, we were prepared for it and in a strong position to weather that storm. 
 In addition to increasing our cash reserves, we have also engaged on a sustained and focused cost management program. We also managed cash on hand well and even received a $202,000 PPP loan, which is being forgiven in its entirety, making it essentially a grant. When we back out nonrecurring charges and noncash accounting effects, 2019 represented the fifth consecutive year that expenses at Research Frontiers have decreased and the sixth consecutive year of lower operating losses for our company compared to the prior year. This trend of lower expenses and lower losses continued into 2020. Expenses during the first 9 months of 2020 were down over $716,000 or over 23% from last year. 
 And even on lower revenues from COVID and other factors, our net loss for the first 9 months of 2020 was about $1.1 million less than the same period last year. This was a reduction in our net loss of over 42%. Our net loss per share for the first 9 months of 2020 was $0.05 per share, down from $0.09 per share for the same period last year. And as bad as the second and third quarter was for pretty much everyone in the world, we approached breakeven in the third quarter with a loss of just $0.01 per share. 
 We have a strong balance sheet. We have $5.9 million in working capital and over $5.4 million in cash, which represents roughly 2.5 years of cash reserves. COVID-19 unexpectedly shut down the world economy in March. And somewhat expectedly, there was a resurgence now. New lockdowns are starting in Germany, France and the U.K. as well as other areas. Even before the lockdowns in Europe, after a 1% gain in September, German car sales dropped 3.6% in October last month from a year ago. Sales plunged by more than 20% in Spain and slumped 10% in France. Volkswagen Group CEO, Herbert Diess, said earlier today that the coronavirus pandemic poses the biggest near-term challenge for that automaker. 
 However, despite these shutdowns, we and our licensees adjusted and figured out how to move our business forward. We figured out how to meet and even how to travel safely. The COVID-19 pandemic has forced all of us, including the large companies that we deal with, to be more results-oriented and efficient in how we conduct business. This has certainly helped Research Frontiers. We planted important seeds for new business and expansion of existing projects, and these efforts are beginning to bear fruit for us. 
 Since the COVID-19 outbreak, the SPD-SmartGlass industry still had a number of visible and significant accomplishments. We will talk about these today and going forward. We will also talk about some of those seeds I mentioned that we and our licensees planted and how they are beginning to bear fruit and how they will result in increased revenues well beyond levels previously seen. 
 In April, our licensee, Gauzy, announced that the industrial companies Hyundai and Avery Dennison had made substantial investments in their company. These strategic investments are good for our company and good for our industry and bode well for the use of SPD in future vehicles and architectural applications. Since then, other major industrial corporations also invested in our industry. And Research Frontiers joined the Russell 2000 Index in late June. In July, during a business trip to Detroit to meet regarding 3 automotive projects, we also signed a new license agreement with the world's largest sun visor supplier to the automotive industry, Daimay. [ Mr. Scinta ] had asked how Daimay is doing prior to this call. [ Sam ], they're doing quite well. They developed and refined the sun visor product and are working with customers, including one specific automotive OEM who quite likely might be their launch customer. Other licensees have also reported to me specific projects with various OEMs regarding sun visors, so this demand here seems to be growing as well as the awareness of the benefits that we provide.
 In the third quarter, automotive income was down. The news here is bittersweet. The SLK Roadster, which 9 years ago was the first car to use our technology, is being discontinued completely by Mercedes. The new SL Roadster is moving to a canvas roof, which precludes the use of any kind of sunroof or other glass in the next-generation of this car model. 
 Somewhat undetermined right now is the future of switchable glass on the new S-Class. Like its predecessor, the ones that we're on -- the one that we're on, the Magic Sky Control option did not come out in the first year of the car's introduction. This is mostly a marketing decision by Daimler at that time and not due to any technical limitations with SPD-SmartGlass. We have still not heard definitively from Mercedes, whether or not Magic Sky Control will become a mid-model introduction on the new S-Class. However, I'm happy to say that we are working with Daimler for introduction of SPD-SmartGlass in other vehicles, both electric and internal combustion engine vehicles, and they're using more smart glass per vehicle than has ever been used before. 
 This sustained program with Mercedes has been very important to Research Frontiers and to the smart glass industry. There have been tens of thousands of cars on the road since 2011 using our technology. There has not been one reported problem in any of them. This demonstration of reliability and performance has been very important because it showed Daimler and then McLaren that when they want the best for their customers, they can deliver it reliably. It also showed other automakers these important factors. Performance and reliability for SPD-Smart technology was solidly proven in the real world. 
 Then the only question is whether the cost of the technology would support SPD-Smart technology being introduced to less expensive cars. We showed the industry something about this within the last year, and that also helped answer the cost question. The cost of SPD film, which is now being produced by 2 companies in our licensee family, has come down. Further cost reductions in other areas of the supply chain also brought the total cost of SPD-SmartGlass down. I am happy to report today that SPD-Smart technology is now being specced in, not only in future premium cars, but also cars in the mid-market as well. 
 Why is the mid-market important? The premium market represents 3% by unit volume of the total car market. The mid-market is vastly larger. And if you look at other technology-based automotive companies, they all started in the premium market, but where they achieved their real significant financial success came from being able to address the mid-market. You will see that with Research Frontiers as well, as these mid-market cars that I'm referring to start coming out. 
 Some of the significant new business may come from new areas of our supply chain. Our most aggressive licensees in this area have been active in successfully landing important new automotive business. And even our more established and larger licensees have been quite active in automotive. Just last night, I received confirmation from yet another new and novel use of our SPD-SmartGlass by a major OEM. We are awaiting details about when this new use will be made public by the OEM. 
 It does take some time for innovations to be designed into and then introduced to the market. Fortunately, this process started with our technology several years ago, and we are well on our way. Also the fact that we've been able to reliably prove the sustainability and supply chain aspects of our technology has made the development times much shorter for the auto industry. 
 Where are some of these cars coming from? Well, as many of you know, the automotive industry can be very secretive and it's always the OEM that speaks first, but there are clues out there. Sometimes, you'll see this referred to when concept cars like the one shown and discussed by BMW this year. Also recently, Hyundai had a patent covering SPD-Smart sunroofs published. You see other automakers also mention SPD specifically in their patents and patent applications. So while I cannot always announce the specifics of who is working on our technology until the OEM does, you could take some pretty strong clues as to who these companies are and where they are focusing on by looking at the patents and patent applications in this area that get published and the concept cars that they choose to talk about. 
 The strong movement towards electric vehicles also has benefited us because we can increase the driving range of an electric vehicle by up to 5.5%. This benefit has been noted and acted upon by automakers introducing electric vehicles to the market. Our SPD-SmartGlass can also reduce CO2 emissions by up to 4 grams per kilometer. It seems like every week another automaker announce heavy fines because of the failure to meet European CO2 emission targets. Another trend that has been helpful is the movement towards panoramic roofs that are either 2 sunroofs in a vehicle like it is configured for the current S-Class, or very large single panoramic roofs. There is also a movement helpful to us with the movement towards fix all glass roofs that do not open. Here, SPD-SmartGlass technology becomes even more important because these large pieces of glass would otherwise let in tremendous amounts of heat that needs to be controlled in some manner. Pull-across shades are no longer feasible for such a large roof because of the mechanics involved. 
 So you could either heavily tint the glass roof, but this defeats the point of having glass in the roof at all, or you could use switchable glass in the roof to create that open-air feeling that automakers and car drivers desire so much. This is an area where we are also a leader. At the automotive glass conference in Berlin that I spoke at about 18 months ago, Bentley had also given a presentation about the history of sunroofs within Bentley. At the end of this presentation, they noted that if they move towards a switchable glass roof using SPD-SmartGlass, they can save almost 13 pounds of weight and eliminate 54 components from the sunroof assembly. 
 In a world where weight matters, even to Bentley and other premium cars, this is because of the move towards electrification, we also become a very significant solution. Earlier today, Bentley announced that they were going all electric. This is highly significant for us because of the weight reduction we offer in the roof assembly. 
 Moving from automotive to our second largest market, aircraft, Research Frontiers has always been the leader in general aviation aircrafts and helicopters. I have another major announcement to make today. I am very pleased to announce that contrary to some of the comments and speculation seen on the Internet that the new A220 VIP jet project using -- uses SPD technology from our licensee, Vision Systems. And Airbus has already announced orders for 15 of these transport category-sized jets. Each of these A220 aircraft will have SPD electronically dimmable windows covering 50 structural windows. 
 Once again, as in automotive, in the aircraft market, when the OEM wants the best-performing and best quality windows for their customers, they selected SPD-SmartGlass. This development with Airbus and Comlux and Vision Systems bodes well for the future major aircraft business. Thank you, Airbus. Thank you, Comlux, and thank you, Vision Systems, for the hard work. 
 Similarly, we expect a rebound in the private jet market. Aviation valuation specialist, Asset Insight, tracked what they referred to as a, "Dramatic flurry of new preowned business aircraft sales in the third quarter, with transactions jumping 71% year-over-year." This is a good leading indicator of future sales. We have found from experience that many of the aftermarket upgrades, including replacing shades with EDWs, occur when the used aircraft changes hand from one owner to another. And we are the only switchable window technology that can be easily retrofitted into existing aircraft in the aftermarket and others in this market. So with transportation volume up to some of the used aircraft now in the third quarter, we expect this to be a good indicator of increased future business for SPD. The market report also noted a renewed focus on turboprops, like the King Air that we're standard equipment on. 
 In the architectural market, things are actually proceeding faster than we had expected. With the advent of the new Gauzy film coming out of their Stuttgart, Germany factory that can cover SPD film 1.8 meters wide, we are now being specced into architectural projects around the world. We expect this to be another primary growth area for our business. One particular area of interest in the architectural market is the use of smart glass in hospitals to reduce germs and infections because they're easier to clean, as well as their ability to allow hospital personnel to monitor patients more effectively and also provide better privacy. 
 And as the world returns to normal again in the architectural industry, we're seeing an uptick in interest in the more traditional use of SPD-SmartGlass, energy efficiency. Architects and designers and facility managers are going back to the basic principles. Increased use of glass is good for people and for design, but the intended solar heat gain still needs to be managed. This is an area where we do particularly well as we have the best solar heat gain coefficient of any smart glass in the world. And with many people setting up their homes for working remotely and realizing that they could get work done productively there, there's been more money spent in this area. 
 We received by e-mail before this call some questions from investors, and we addressed many of the general topics in the presentation today. There are some additional questions that were e-mailed to us. 
 Hi, Joe, has the regulatory body that enforces the euro per gram penalty accepted SPD benefits? How would the benefits be measured if emissions testing is often done in a lab rather than in the sunny real world? Thanks, [ Jared ]. 
 Well, [ Jared ], there's no single thing that is tested for in terms of CO2 emissions. It's a combination of many things that determine the emissions characteristics of a car. Also, the penalties are gauged on an automaker's entire fleet of cars sold in Europe. The automakers deal directly with the regulators on this issue. It's a significant issue, though. Tesla has made almost $1.2 billion this year, trading at CO2 credits with other car companies. And carbon credit alliances among competitors are now more commonplace in Europe. The stakes are high, which is why our 4 grams per kilometer estimated CO2 reduction is so significant to the automakers. 
 They're doing what they can. Through 2029, Volkswagen will have launched 75 different full electric models across the group's brands, which include Porsche, Audi, Bentley, Škoda and Fiat. And they've sold a cumulative 26 million battery-driven vehicles mainly built on its MEB architecture. This is the common architecture that they're using. 
 This week, they announced that they were setting aside "a couple of EUR 100 million" for penalties this year. So even with all those efforts, they still face substantial penalties. Jaguar Land Rover has set aside GBP 90 million or $118 million to pay a likely European Union fine for failing to meet its CO2 target. And we believe that a big motivator for the OEMs in using our SPD-SmartGlass is to avoid these fines. 
 I believe that I've addressed now or earlier in my presentation all the questions received via e-mail. And in some cases, I replied directly via e-mail to the questioner. So I'd like to ask our operator, Paul, to open up today's conference call to any additional questions people participating today might have that are not already covered. 
Operator: [Operator Instructions] And our first question comes from [ Jeremy Lau ]. 
Unknown Analyst: Yes. Great call, and congratulations. I want to ask the question who or what is the company Global Glass Technology? 
Joseph Harary: Okay. Global Glass -- the reason you're asking me this question is there was a docket filing in the Federal Court in Florida. We have not received a copy of any complaint or anything like that. So I'm only going from what I see from the caption. But Global Glass was a company that had -- it's a -- we believe to be a 1-person corporation that had loaned money to a former licensee of ours, SPD Control Systems. And when SPD Control Systems defaulted on the loan, they foreclosed on all of the assets of SPD Control Systems, including their intellectual property. 
 I'm not sure what they got out of that foreclosure because SPD Control Systems, as part of their license agreement with Research Frontiers, just like every other license agreement we have, provides that when the license terminates or expires, which it did, all of the IP from the licensee gets licensed back to us on a royalty-free, nonexclusive perpetual basis with the right to grant sublicenses. So basically, the IP developed by a licensee after they become a licensee reverts back to Research Frontiers. 
Operator: We have a question from [ Arthur Borofka ]. 
Unknown Analyst: Can you comment on electronic signage with Panasonic? What's happening? Is -- are there any displays yet out in Japan or any other countries? 
Joseph Harary: Sure. [ Art ] is referring to a product -- it's really a very cool product. And if you go on YouTube or see some of the reviews of the products on the Internet, they're getting some glowing reviews. Basically, OLED technology, which is organic light-emitting diode technologies, being used in TVs right now and other displays, they tried to come up with a transparent OLED display, which is one where you could just put it on your window, let's say, of your home and have it turn into a TV. 
 The problem they were having with that is that the light from behind -- from outside was washing out the image, and they weren't getting vibrant blacks. So Panasonic got a brilliant idea, "Why don't we put a switchable film behind the OLED display so that when you want to turn your clear window into a high-definition TV, you simply flip a switch and the SPD film turns dark?" And they've gotten glowing reviews on how vibrant and dark the blacks are by being able to do that. 
 And to answer your question, our licensee that is producing that for Panasonic, Nippon Sheet Glass, which is also the owner of Pilkington, had shipped a number of those to customers already this year, and we expect that, that will continue. Also, in other areas, a number of other companies have approached different licensees of ours for either that type of display application or others. So word is getting out that SPD becomes something that can turn an OLED display into a high-definition window/TV. 
Operator: Our next question comes from [ Francis Putrevu ]. 
Unknown Analyst: So how many different films does Gauzy make? 
Joseph Harary: Right now, their focus is on the 90-micron film, which is the workhorse that is being used in most industrial applications. They can make other types of film as well. And there are certain films under development for some highly specialized and really interesting applications for SPD as well. 
Unknown Analyst: Do they make PDLC... 
Joseph Harary: Oh, I'm sorry. Your question also asked, do they make a PDLC film? Yes, that's where they started their business was making first electronics for the smart glass industry, and then they realize that the quality of PDLC film wasn't where it should be in the industry. So that became their main business. And that's what attracted them to us and us to them is that they're a very high-quality PDLC manufacturer. 
 And as you may know, if you dig down into the material science, a PDLC film and an SPD film has many commonalities. They're both coated on conductive PET. They have busbars applied to them, and it's a roll-to-roll coating process. And in the case of Gauzy, they were also doing UV-cured PDLC, which not everyone in the industry does. And SPD is also a UV-cured technology. So there's a lot of synergies between their PDLC business and their SPD business. 
Unknown Analyst: Can both of those films be combined to give a darker effect? 
Joseph Harary: Yes. They can be combined to get a darker effect. And PDLC and SPD sometimes is combined to not only achieve complete privacy like on aircraft, but also when you want to regulate lighting conditions but not totally block the light. 
 James Dyson, the vacuum cleaner magnate, has actually -- his yacht windows are a combination SPD and PDLC, and it allows him when he is down in his bedroom on his yacht to have privacy, but still let light come in if he wants it or when the glare gets too much or when he wants to block the heat to independently flip on the SPD or flip them both on depending on what he's trying to achieve. So you could do that as well. 
Unknown Analyst: And I've seen a transparent TV without an image. Kind of like a screensaver bouncing around the TV. Would that also be SPD use that -- used there as well? 
Joseph Harary: I'm not sure. It depends. If there was nothing behind the display you saw, sometimes you'll see it in a piece of furniture or a display cabinet or on a window on a home or office, that's the use of SPD with an OLED display. 
Operator: Our next question comes from [ Allan Yukimoff ]. 
Unknown Analyst: Good conference call. Henrik Fisker has been getting a lot of attention lately, some publicity. He's got a SPAC that trades under FSR and he's been on Jim Cramer show on CNBC talking about the outlook for his car. I think Barron's also wrote him up a few weeks ago. And what is the current relationship with that company at this moment in time? Can you give us a little color if you haven't discussed it already? 
Joseph Harary: Sure. So -- no, we haven't discussed it today, but we're actually on the Fisker EMotion, which is their sports car that's coming out, not their first car, but their next one. 
Unknown Analyst: The Ocean is the first, I think. Is that right? 
Joseph Harary: Yes. And then this is the EMotion, which is a really beautiful car. And we've known Henrik Fisker for a long time. He's the guy -- a lot of people don't know this, that actually designed the Model S for Tesla, too. And Fisker had its ups and downs like any electric vehicle company, but then mostly up. And I think part of that happened when they had hired -- I'm spacing out here, but from GM -- Bob Lutz from GM to help get the company back on track. 
 And then this transaction you referred to with the SPAC, and we know the people involved with that transaction as well from the financial end of it. It's very interesting. There's a lot of very beautiful cars that are going to be coming out and a lot of investments being made to allow these companies to do that. 
Unknown Analyst: So the Ocean is not -- you're not on the Ocean, though. I think that's the first cut. This is being priced very reasonably from what I read. 
Joseph Harary: Yes. That was the issue. Originally, the plan at Fisker, they told us, was to come out with the EMotion, which was the high-end sports car. And it was more of a Model S kind of competitor but a lot sportier. And they are using SPD on the side windows as well as the roof. Then they came out with the Ocean to come out with a less expensive initial car. And -- but we're not on that. 
Unknown Analyst: Got you. Is there a release date on the EMotion? Is it like 20 -- sometime in 2022? 
Joseph Harary: I don't know the latest on it. But one of the reasons all the electric car companies are very interested in SPD is that what we allow them to do is actually reduce the temperature inside the vehicle by at least 18 degrees Fahrenheit. So instead of getting in your car and it being 90 at 72 degrees without using the air conditioner, and then while you're in the car, you're using the air conditioner less. Now in an internal combustion engine car, that allows you to make the air conditioning compressor 40% smaller and use the air conditioning less, and that reduces CO2 emissions. 
 In an electric vehicle, it allows you to use for the same reason, less power to cool the car. And because of that, Continental Automotive and others have calculated a 5.5% increase in driving range using our smart glass. So very significant. 
Operator: We have a question from [ Bruce Denny ]. 
Unknown Analyst: I guess one question with two branches here. In the conference call, you mentioned that the SPD is being specced in to new architectural projects as well as several mid-market automobiles. 
Joseph Harary: Right, those are pretty significant, yes. 
Unknown Analyst: Can you give us an idea what the release time is on the automobiles and when we can expect to see some of these architectural projects happen? They can design a building 15 years before they start construction. So I wonder if you have a handle on timing for some of these things. 
Joseph Harary: I would say that the architectural applications, you'll probably see in 2021, and you'll start to see, if not in 2021, in 2022, you'll see some of these other automotive projects that I've been talking about. 
Unknown Analyst: And vis-à-vis the mid-market with larger volume, you think? 
Joseph Harary: Yes. And to be the most exciting thing, I can't underestimate the difference in the size of the premium market versus the mid-level market. And just like Elon Musk's dream is to bring electric vehicles to the masses and not just to the premium market, the same thing with SPD is that we -- you have to start in the premium market like any technology, especially for the automotive industry. 
 But then your goal is to always get the cost down. And the competition among the filmmakers and the competition within the supply chain, and just really, I think, people making very smart investments among our licensees in automation and equipment has really helped get the cost down tremendously of SPD. So I think that's why we're able to finally talk now about the mid-market. 
Unknown Analyst: And just one other point. As far as automobile sun visors go, is anyone actually embedding the film in the windshield? 
Joseph Harary: Yes. So McLaren is doing that now. And there are some projects in development that are also working on that. As a matter of fact, just today, I was having a conversation about that very application with one of our licensees. 
Unknown Analyst: That's helpful to me. 
Joseph Harary: It's a name you recognize, believe me. 
Operator: Our next question comes from [ August Berman ]. 
Unknown Analyst: Good color. Just a question about Mercedes. It looks like the new Mercedes S-Class, the W223, had a function where you kind of wave your hand to open up the, I guess, what you would say, just the roof to allow for Magic Sky. 
Joseph Harary: Yes, the pull-across shade, yes. 
Unknown Analyst: Just kind of deducing, would we think that -- is SPD getting to the point where we can have a manual wiping up the hand to darken, clear. I know Gauzy AGP has had some interesting videos that I've seen. Is it a ready-to-install kind of project at this point here? I'm just trying to think in terms of why Mercedes would want to not use Magic Sky right now. Maybe in the future. They're just getting everything kind of prepared for that. What is the reasoning on that? 
Joseph Harary: Yes. So -- yes, the answer, August, is yes. Matter of fact, the same sensors that you use to wave your hand now in front of the sliding shade on the new S-Class can work with our technology. You could also speak to Amazon Alexa and control your smart glass. We have glass in our office that's been doing that for at least 5 years. So a lot of different very cool ways to control both SPD. And a lot of them can be off-the-shelf solutions like you saw. And if you go to our website, there's actually a pretty cool video of someone waving their hand in front of an aircraft window, it's a segmented aircraft window, and you could actually control all the segments by just waving your hand and gesturing in front of it. So that's pretty neat. 
Unknown Analyst: Yes. And then just one other question. Looking at a recent video on the Continent -- The Continental website, it did show a video of SPD and PDLC. Are we likely to see new models include those technologies? Is that going to be the golden standard? 
Joseph Harary: Yes. Yes, absolutely. 
Operator: We have a question from [ Justin Harrison ]. 
Unknown Analyst: A20 (sic) [ A220 ] is very exciting as that would be our first commercial aircraft. Is that correct? 
Joseph Harary: That's right. Technically, we're the longest flying commercial EDW because Airbus had us in the A380 for Qantas Airlines. It was a very specially designed aircraft interior by an Australian designer since -- trying to think if it was 2008, but that's just 1 laboratory window, [ Justin ]. This is -- the A220 is a beautiful aircraft, a lot of windows. And what they're doing with the interior -- because it's a VIP business aircraft, is so stunning. I mean you're going to want one. So let's get rich and get your stock up so you can buy one. 
Unknown Analyst: Wonderful. So I have another question for you in regards to Airbus. The -- this initial order, so it's a -- and maybe it was my phone and maybe it was a conference call, but something cut out, I think you said it was 15 aircraft initially? 
Joseph Harary: Right. 15 aircrafts have been designated for this and are in the pipeline. 
Unknown Analyst: Okay. And one more question for you, if you have time. 
Joseph Harary: Absolutely. For you, Justin, absolutely. 
Unknown Analyst: So I read the patents and I have seen names such as Tesla, Apple mentioning SPD technology. Is there anything that you could share with us? Because it would seem Tesla -- Elon Musk is the sexy guy of electronic vehicles. I would love to see this in a Tesla, and I would think that he would love, too, as well. Is there anything that you could elaborate with any of these patents that we're reading, or we're just on hold? 
Joseph Harary: I can't really talk about anything that hasn't been publicly announced by the OEM. There's some real interesting stories behind Tesla and SPD. And I know a lot of people there that are still there, including Elon and Franz, the lead designer. And they've looked at this and they think it's the coolest thing ever. So I think it's just a matter of time before they figure out how to effectively get this into their Teslas. They have a lot on their plate besides this. But it's a natural, in my opinion. 
Operator: [Operator Instructions] And we have a question from [ Thomas McCarthy ]. 
Unknown Analyst: Two-part question, both quick, I think. The Fisker EMotion, can you share whether it's -- SPD use is going to be an option or standard? 
Joseph Harary: I don't know if that's been determined yet, but I believe it's probably going to be standard. 
Unknown Analyst: Okay. And what's your guess as to when we'll know? 
Joseph Harary: I don't want to guess. 
Unknown Analyst: All right. 
Joseph Harary: Sorry. But there are other things. There are other cars, too, that I think will be much higher volume that will be very nice for everyone to see. 
Unknown Analyst: Okay. Good. The second question concerns, could you give us an update on the marine use, cruise ships, individual boats? And also there was talk at one point about Viking Cruises. I think that's their name. Anything happening there? 
Joseph Harary: Yes. So in the cruise ship market, you need architectural-sized glass for the cabins. So that really is something that is going to almost certainly need to use the wider Gauzy film. And Vision Systems, our licensee there, has been the leader in the cruise ship marketing although other licensees have also approached that industry. In the yacht market itself, I just heard, again, today about a new project coming out in the yacht industry. 
 So there's a lot of naval architects that really like this because you're replacing curtains and shades, which, in a static environment like a house, they collect dust and things like that, and they could be mechanical nightmares. In a moving vehicle, like a car or a yacht, they also rattle a hell of a lot. So I had one naval architect who had put our glass in a production yacht that he designed. And he didn't know who I was, and I said why did you put this cool glass in there? He said that because I wouldn't have been able to do these designs without it. And you see how sleek it looks and how there's no rattling and you get these smooth lines. And then I told them, I'm the CEO of the company that invented that, and he had a big laugh. 
Operator: Our next question comes from [ Ronald Rosato ]. 
Unknown Analyst: That was a nice piece of news on Airbus. Congratulations. Welcome. 
Joseph Harary: Congratulations to all of us. Congratulations to all of us. 
Unknown Analyst: Yes. I have 2 questions. One, could we expect any -- to see any product designs out of Daimay? 
Joseph Harary: Yes. I alluded it -- to it briefly in response to a question I got from [ Sam Scinta ]. They've already developed multiple iterations of this. So they're pretty far advanced in terms of the product development part, and they have a -- what I believe is going to be their launch customer in the OEM side. And of course, they also have the aftermarket. 
 So -- and a lot of people don't know Daimay. They're the largest sun visor manufacturer in the world. And I was in the Detroit area at their headquarters, their North American headquarters, and their CEO was sitting in my S-Class. And he was playing with all the foldout mirrors and sun visors and they all were Daimay products, by the way. So they're a very well-established company with a great reputation. We're really pleased to be working with them. 
Unknown Analyst: Okay. Great. And just one other question, Joe. Any movement in the armored vehicle market? 
Joseph Harary: Yes. Armored vehicles, some very high-profile ones, maybe the highest profile ones in the world are speccing us in. And a little bit of a disappointment was that Brazil got hit so hard with the coronavirus that SER really was shut down for quite a long time. I mean, fortunately, they're back up and running again. They've been pitching this not only to the [Foreign Language], which are the companies that will upgrade your car and make it armored in the aftermarket, but also the [Foreign Language], but the -- but also some of the OEMs that have major facilities in Brazil like to armor their cars at the factory. 
 And some of their biggest customers were listed in the press release, one of them being Toyota Brazil. So there's a lot of interest there and something in between the aftermarket and the OEM market as well. We have 2 other licensees, just to complete the picture of that, who really do armor glass well. You have Isoclima and you have AGP. So there's definitely a strong expertise in our licensee chain on how to do armored vehicles with SPD. 
Operator: Our next question comes from [ Leonard Lee Tsao ]. 
Unknown Analyst: Lots of exciting things going on. Part of the question I had has already been answered. So I just want to ask a couple of quick things here. You mentioned the hospitals. And with corona, I know they've been working on that. Is there anything actually happening in that area at this time? 
Joseph Harary: Yes. You have kind of 2 approaches, [ Len ], that we're going into the hospital market. One is the replacement of traditional stationary partitions, the windows, because that helps with bringing daylighting in, which is -- can be therapeutic, and privacy. But the other thing they're working on is kind of a cool product that Gauzy has developed, is a movable partition. So you can actually move it into the hospital room and take a private room and turn it into a semi-private and still have on-demand privacy and light control. So it's kind of cool as well. And other application outside of that, too. Yes. 
Unknown Analyst: Yes. And it's a long time in their site, you saw the display windows in the stores and all that sort of thing and then the coffee shop, how they used it with their hand, and that's all exciting stuff. So we should start -- are the new models here now? We're in the second half of the year, which is when they start manufacturing. So in the auto market then, we should start seeing something in the next few quarters, I would assume. Or is that too early? 
Joseph Harary: Are we talking about -- are you talking about the hospital market or you're talking about the auto market? 
Unknown Analyst: No. I've switched to the auto market. I'm sorry, that was... 
Joseph Harary: Yes. So the auto market -- the cars that are coming out, as I mentioned earlier, you're probably going to see some visibility on that in 2021 and 2022. Everything in that market got shifted out, though, as you know, from coronavirus. So cars that were supposed to come out this year are coming out next year. Cars that are supposed to come out next year or coming out the year after. They're just -- they're doing the best they can. 
Operator: We have a question from [ John Nelson ]. 
Unknown Analyst: Any new developments in the cell phone market as far as use of SPD on the camera port hole or the screen? 
Joseph Harary: There's been interest in that, but it's not a top priority for us or our licensees. Obviously, the companies that are making these, Apple and Samsung primarily, and then there's some other ones, too, that -- where you have a built-in camera and a strong need for privacy, have all looked at SPD as a solution to create privacy that becomes unhackable. 
 But it's not a -- to be quite honest, it's not a huge priority for us right now because of what we've been all -- us and our licensees have been kept busy with some pretty large architectural and automotive and aircraft and -- projects, as you heard a little bit about it today. But those kind of things are great because as people understand SPD-SmartGlass film as being a material that has this versatility to allow you to do these really cool things, they figure out what to do with it. And we like that. I mean we get approached with these new uses quite often, and I love them because they're product extensions that don't cost us anything really to do. It's just a matter of making the material available to the companies that want it, and we're all geared up for that. 
Operator: We have a question from [ Eddie Flemming ]. 
Unknown Analyst: Joe, just help me to understand a little bit better -- help me understand a little bit better about how you receive revenue? I know you license it out, so like in the automotive industry, is it based on the number of cars they sell? Or like the square footage glass that they put in the car? 
Joseph Harary: Typically, we -- yes, we try to keep it as simple as we can in the automotive industry and very consistent. We get a 10% royalty-based on the revenues of the Tier 1 supplier that is supplying the SPD product to the car company. So for example, Asahi Glass sells a sunroof to Mercedes. We get 10% of that selling price that Mercedes pays for that. The only exception to that is, we have a separate direct license between SPD Control Systems, Research Frontiers and Daimler, that allows Daimler to use our electronics. So -- and there, we get paid by the car. So every car, we get certain fixed royalty based on that. And it's -- for us, it's allowing Mercedes to do what they want with the electronics and feel comfortable with it. And that license gives them the freedom to operate. 
Unknown Analyst: Okay. Do you see a greater potential from the architectural market than you do the car automotive? Or you think automotive will always be? 
Joseph Harary: I think in the next 3 to 5 years, Eddie, it's going to be shifting towards architectural as our predominant product. Just to give you kind of the relative amount of glass, the architectural market uses twice as much glass as the automotive market does. So as we're now able to penetrate that market for the first time because of the wider film from Gauzy, that becomes a reality that we could do that, and we're beginning to see a warm acceptance from the customers about that. So eventually, this can become our biggest market. But for now, the predictable high-volume market is automotive for us. 
Unknown Analyst: Is the revenue from architecture based on the same thing, like, percentage of the... 
Joseph Harary: Yes. In that market, it's a 15% royalty. 
Unknown Analyst: Okay. And one last one is -- question is, do you see the COVID-19 effect in the architectural less than the automotive? Or about the same? 
Joseph Harary: It's hard to say because, on the one hand, you have structures being totally redesigned now because of COVID-19, and we've published some articles, and we've been interviewed by the media about it, where people are reconfiguring their homes to be more friendly for remote working. And I think that's a very positive sign for us. The only way we're negatively affected is if there's a general decrease in economic activity due to COVID-19. But more people are actually living at home, so they're paying more attention, I believe, to upgrading their homes and home improvement. And when you do that, that helps us a lot. 
Unknown Analyst: Look, we appreciate your being so knowledgeable and always up-to-date on what's going on in the market, even if it's not your company. I just appreciate that. 
Joseph Harary: It's the economist in me. I like to look at megatrends and macro trends to determine how we should be deploying our own resources. 
Operator: And our final question comes from [ Alan Ginsberg ]. 
Unknown Analyst: Could you give us an update on the sale of Hitachi Chemical and how that affects Research Frontiers? 
Joseph Harary: Sure. So the short answer is, it's completely business as usual. Maybe they're being even more aggressive in their business development efforts since the sale. But we haven't been negatively affected at all by the sale of Hitachi Chemicals' business to Denko. And like I said, I'm seeing a new spring in their step, and it's really pleasing to see.
 Okay. Well, if there's no further questions -- or are there? 
Operator: We have no more questions in queue at this time. 
Joseph Harary: Okay. So if anybody is -- feels that their question hasn't been fully answered, please feel free to e-mail us, and we'll do our best to supplement it. I'm going to make a few closing remarks now. As everyone knows, 2020 was a very interesting year, in many respects and it's still not over. COVID-19 hit many businesses very hard, but we can see that V-shaped recovery happening in some industries and maybe more of W than a V, depending on how long some of the shutdowns continue. 
 It certainly delayed the introduction of vehicles slated to use our technology, but those delays seem to be behind us now. And analysts are very bullish on both the automotive and aircraft industries, especially in the areas that we're now entering. We never could have predicted COVID-19, but we were certainly prepared for it as a company. And I believe that this also gave us a competitive advantage over other companies that were not so well prepared in our industry and had to announce layoffs and shutdowns. 
 Since our last conference call, a number of major automotive projects have specced in SBD for their coming models. Also highly significant, I believe, is the movement of our technology from the premium segment to the much larger middle market of the automotive industry. And since our last conference call, SPD has now been adopted for use on the high-end A220 transport category VIP jets, with production of at least 15 of these aircrafts with SPD electronically dimmable windows already announced by Airbus.
 And our fee income in new markets, such as architectural and display applications, was up for the first 9 months of this year compared to last year. The projects we spoke about today for our technology in all of these markets should generate growing revenues for us and our licensees next year and for many years thereafter.
 We now have also multiple producers of SPD film. We have wider SPD film, so we can pursue the architectural glass market. We've reduced the cost of SPD technology to the customer. A stronger and more efficient supply chain exists, and lower production costs and higher production capacity all make it easier for companies to use our technology. We and our licensees, on a weekly basis, are opening up new markets and new projects, such as the large architectural smart glass market. 
 We built a strong and enduring company through focus, hard work and determination, and we maintained the constant focus on maintaining a lean operation with minimal capital expenditure requirements, and we kept the strategic focus on key markets and industries. Also helpful for us is that we've built a business that is well diversified across industries and within industries and also geographically. We did this while at the same time, building a world-class and reliable light control technology that has brought benefits to so many people and companies around the world. And more of these companies are coming to us and our licensees each week to help them solve challenges and add new features to their products. 
 If I can look ahead, I could see that there will be a great transformation coming in the smart glass industry. Research Frontiers, our technology and our licensees will be leading that charge. As always, I want to thank you, our strong and loyal investors, for your support while we do this. Your patience and involvement will be rewarded. Thank you very much. Everyone, stay safe. 
Operator: This concludes today's conference call. Thank you for attending.